Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Zoe Lawrenson, Senior Director of Strategy and Corporate Development, Liberty Latin America.
Zoe Lawrenson: Good morning, and welcome to Liberty Latin America's Full Year 2025 Investor Call. [Operator Instructions] Today's formal presentation materials can be found on the Investor Relations section of Liberty Latin America's website, www.lla.com. Following today's formal presentation, instruction will be given for a question-and-answer session. As a reminder, this call is being recorded. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. In addition, on this call, we may refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you , Zoe, and welcome, everybody, to Liberty Latin America's Fourth Quarter and Full Year 2025 Results Presentation. I will be running through our group highlights and an overview of our operating results by Credit Silo before Chris Noyes, our CFO, reviews the company financial performance. We'll then get straight to your questions. As always, I'm joined by my executive team from across our operations, and I will invite them to contribute as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. All right. Starting on Slide 4 and our highlights. Our business performed very well in 2025. We added over 225,000 mobile postpaid subscribers across the group, notably driven by Costa Rica and supported by fixed mobile convergence efforts and continuing prepaid to postpaid migrations. The postpaid adds this quarter included a positive net add contribution from Puerto Rico for the first time since the migration. We also recorded $1.7 billion of adjusted OIBDA in full year 2025, which represented 9% growth on a rebased basis. This performance was driven by good execution of cost initiatives as well as effective customer management and came despite headwinds in the fourth quarter from Hurricane Melissa. We worked hard to drive a steep recovery in profitability in Puerto Rico as well as double-digit adjusted OIBDA growth in Cable & Wireless Panama. B2B came in very strong in the fourth quarter, which is seasonally our best B2B quarter. LLA registered P&E additions for the group at 14% as a percentage of revenue for full year 2025, in line with previously communicated intentions and representing a 2 percentage point decline versus the prior year. With adjusted OIBDA expanding, the P&E additions falling, the adjusted OIBDA less P&E additions increased by 27% for the full year 2024. Our adjusted OIBDA after P&E additions margin came in at 24% for full year 2025. When comparing on a like-for-like basis, including adjusting for different lease accounting under the IFRS reporting, this compares very favorably to peers across the region and in the U.S., and there is still room to grow here. Finally, in Jamaica, I would like to thank all those involved in our recovery efforts following the effects of Hurricane Melissa. Against the backdrop of a Category 5 hurricane, our mobile network held up well, recovering service very quickly. While our fixed infrastructure was more impacted by the storm, we continue to reconnect homes and B2B customers. As we rebuild in fixed and continue our network transformation in mobile, we aim to invest in an innovative and returns-focused manner. I'll cover more on this later. Turning to Slide 6. I'll provide an update on Liberty Caribbean, which inevitably felt the impact of the hurricane in Jamaica in both Q4 and full year numbers. On the top left of the slide, we present our mobile KPIs. Postpaid mobile additions of 55,000 registered a strong cadence through 2025 and notably continued through Q4 despite the impact of hurricane. Momentum here continues to bring from rising FMC penetration and prepaid to postpaid migration, which are tailwinds we anticipate continuing over the coming periods. On the bottom left of the slide, we show our fixed KPIs. We have managed to keep the broadband base broadly steady throughout the first 9 months of the year, with Q4 largely reflecting the impact of lost customers in Jamaica. Elsewhere, we saw some modest pressure on volumes in Trinidad and Tobacco and the Bahamas. Moving to the center of the slide. Despite headwinds from Hurricane Melissa, we held Liberty Caribbean segment revenue flat in full year 2025 at $1.5 billion. Within this, we registered rebased residential mobile revenue growth of 4%, given structural support from postpaid additions as well as selective price increases on both prepaid and postpaid throughout the year. This offset pressures on the fixed residential business and on B2B, which mainly was due to the impact of the hurricane in the fourth quarter. Looking forward to 2026, we continue to be fully focused on rebuilding in Jamaica, which I will turn to in more detail on the next slide. In addition and looking region-wide, we aim to continue driving FMC where penetration is now within 40%, in the B2B segment, which reflects over 1/3 of segment revenue, we also see a significant opportunity to expand this revenue pool. Turning to Slide 7. I'll provide an update on Jamaica post Melissa and outline our investment focus for 2026, during which we will be deploying proceeds from the payout under our weather derivatives program, which totaled $81 million on a net basis. First, the mobile. Our mobile network recovered quickly. And through quarter end, we were running at a higher level of mobile subscribers and carrying more data traffic over the network than prior to the hurricane. As of the latest data available through early February, this trend has been continuing. Our mobile business in Jamaica is largely prepaid, and these improving KPIs translated into higher prepaid and higher overall residential mobile revenue in Q4. Our postpaid mobile business has also proven to be resilient. We feel good about the outlook for our mobile business in Jamaica, seeing not only the opportunity to maintain this recovery, but to further build upon it. We have been transforming our network over the course of 2025. And as a result, we have been recognized by Ookla as the fastest mobile network in the island for the second half of 2025. We will continue our transformation journey into 2026, leveraging an improved spectrum position and greater site density. With over 85% of our mobile customer base on the prepaid tariff, we see continued opportunities to migrate customers to postpaid, and we will continue to focus on attracting higher-value prepaid customers within this segment. On the fixed side, as we have mentioned, the fixed network was materially more damaged than our mobile network, impacting both our residential fixed customers and our B2B customers who weigh more towards fixed services. As a result, we have taken out 133,000 home passed from the count, where we don't foresee a restoring of fixed service in the near term. To provide more clarity on our outlook for the fixed network, it's instructive to break down the country into 3 geographic zones. Across the country, we have over 75% of our fixed broadband customers back online today, but see significant regional differences. The capital city, Kingston is in what we term as Zone 1, an area which represents the largest driver of GDP, over half of pre-Melissa homes passed and is where the bulk of our B2B customers are based. In Zone 1, economic activity and daily life is fully restored and the vast majority of homes are back online. In Zone 2, representing 30% of pre-Melissa homes is still recovering. Our plans are to rebuild in the Parish of St. James, where Jamaica's second city, Montego Bay is located. Once complete, this should move the needle in terms of further bringing customers back online. Meanwhile, in the West, Zone 3 felt the largest impact of the storm and just over 50% of broadband customers still remain offline. Our rebuild here is following and subject to the cadence of reconstruction of homes and businesses in the region. Through the course of the year, we will continue to restore homes and B2B customers with a focus on return on investment and innovation. We look forward to building back stronger in Jamaica and on a run rate basis, we target being back close to pre-hurricane levels of profitability by the end of 2026. Moving to Slide 8 and our C&W Panama segment. Starting on the top left of the slide. We delivered accelerating momentum in postpaid adds throughout 2025 as customers continue to migrate from prepaid, which creates more predictable revenues. We increased prices in postpaid and improved pricing plans in our prepaid business. On the bottom left of the slide, we show our fixed KPIs. We delivered another robust quarter of Internet subscriber adds, while competitive conditions caused some offset on price over the course of the year. Looking at revenue and as we show in the center of the slide, we registered rebased revenue growth of 3% for C&W Panama for full year 2025, which in turn was driven by rebased residential mobile revenue growth of 7% in 2025. Encouragingly, we also saw an improving performance in our B2B segment in 2025, with the contribution weighing more towards the end of the year. We have registered a number of new wins, including the Ministry of Education of Panama, MEDUCA, which signed a contract with us to provide high-speed Internet to all public schools nationwide. B2B rebased revenue growth for full year 2025 was 1%, mainly driven by the fourth quarter that registered 24% growth on a year-over-year basis. Looking to 2026, we aim to build on our success in B2B and B2G and continue to drive postpaid momentum in residential segment while staying vigilant on costs and disciplined on capital investments. Next to Slide 9 and our final segment within the C&W Credit Silo, Liberty Networks. On the left side of the slide, we present our full year 2025 revenue evolution. Wholesale revenue grew 6% on a rebased basis. Stripping out headwinds from noncash IRUs, underlying wholesale revenue growth would have been 12% year-over-year, mainly driven by revenue from a new key project win and new lease capacity sales. In December last year, we announced that we were chosen to design, construct, activate and operate El Salvador's first submarine cable. This is a 1,800-kilometer cable to connect the country to major international hubs, boosting high-speed Internet capacity and resiliency. This investment goes beyond building critical infrastructure. It lays the foundation for economic growth, innovation and opportunity for all Salvadorians. Enterprise revenue was a smaller part of the growth engine, but still showing momentum in IT-as-a-Service and connectivity solutions. These services are helping us bring a strong base of monthly recurring revenue, which supports long-term stability and positions us well for the future. As we look forward, we remain focused on continuing to deliver growth in underlying subsea capacity as well as executing on our El Salvador project and on MANTA as well, our 5,600-kilometer joint build with Sparkle and Gold Data. On track to be operational in late 2027 or early 2028, MANTA is expected to establish a solid foundation of monthly recurring revenue, enhancing long-term profitability and positioning Liberty Networks as the region's primary data hub. Given expenditure is front-end loaded for this project, we look forward to turning current FCF headwinds into future tailwinds. Turning to Slide 11 and Liberty Costa Rica. Starting on the top left of the slide. The postpaid business segment in Costa Rica continues to be the highlight for the LLA Group. In 2025, we added over 160,000 postpaid subscribers, representing a 16% expansion on the 2024 base. In particular, we have seen strong take-up in the lower-end postpaid segment, which is nevertheless accretive relative to our prepaid ARPU levels. Moving to the bottom left of the slide. On the fixed side, we continue to do a good job growing our subscriber base under competitive market conditions with an improved performance in the fourth quarter. Moving to the center of the slide, we show Costa Rica registering rebased revenue growth of 1% in 2025. The driver of this was our residential mobile business, which grew revenue by 6% on a rebased basis. Despite the growing broadband base, price competition led to fixed revenue declining by 4% on a rebased basis, while we also faced a tough comparison on B2B. Looking forward, we see no immediate reason for a slowdown in the drivers of our prepaid to postpaid mobile strategy. We expect 5G to become even more important, and Liberty was the first operator to launch 5G in Costa Rica in 2024, and we have over 300,000 customers today. Following the acquisition of 5G spectrum in 2025, we expect a continued lift as we deploy 5G stand-alone in partnership with Ericsson. Knowledging the tougher fixed market conditions, we will leverage our FMC advantage and stay innovative. In Q3 of last year, for example, we launched an offer for new and existing customers to have access to the most popular over-the-top platforms, including in their phone plan. A unique move in the Costa Rican market. Finally, and following Sutel's rejection of the proposed merger with Tigo in Costa Rica, we have now turned our attention to costs. We believe we have a strong track record on cost reduction across the LLA Group, and we are focused on delivering similar margin benefits in Costa Rica over time. Moving to Slide 13 and our third credit silo, Liberty Puerto Rico. Starting on the top left of the slide. In Q4, we registered the first quarter of positive postpaid mobile adds since the migration. This follows significant commercial efforts in the second half of the year, focused on the launch of Liberty Mix. This new multiline plan has captured customers' imagination, offering flexibility designing to mix and match plans within multi-bundle packages. It also has transparency with no hidden fees and value add through hotspots and roam like home, which are particularly important to our customer base. Additionally, in mobile, we are pleased to have completed the migration of our Boost MVNO customers onto our network. These are high ARPU prepaid customers and retaining these customers while removing wholesale costs is an important milestone for the business. Our postpaid base also saw a pickup in the quarter from a small number of migrators Boost customers who opted to switch into our Liberty postpaid offering. Moving to the bottom left of the slide. On the fixed side, we continue to see competitive pressures impacting our subscriber base, though we registered lower broadband losses in the fourth quarter. In part, this follows greater commercial efforts on the fixed side, including campaigns focusing on network quality and reliability. Moving to the center of the slide, we registered a 6% revenue decline for the year. This largely reflects a 6% decline in residential mobile revenue, in turn a function of the negative impact from the migration of customers to our mobile network and network challenges in 2024, which caused a decline in the average number of postpaid mobile subscribers. B2B revenue declined by 16% year-over-year, in part due to similar migration factors. Residential fixed declined by 1% year-over-year with support coming from price increases early in 2025. Looking to 2026, Puerto Rico remains a competitive market, and we aim to keep laser focus on our commercial proposition. We have seen a nice lift in NPS to start the year on both fixed and postpaid side. We will continue to work hard to improve our customer propositions as we try to stabilize the fixed business and scale up in postpaid mobile. Finally, on Slide 14, we summarize our strategic vision for Liberty Latin America as we look to 2026. Firstly, on the commercial front. You have heard me mention FMC or fixed mobile convergence a number of times on the call. We have complementary high-speed fixed and mobile infrastructure across almost all of our entire footprint, and we aim to continue to leverage this in our commercial proposition. We sometimes talk a little less about B2B, though this represents almost 1/3 of group revenue. This contribution could be higher, and we are particularly excited about our recently announced partnership with AWS to bring AWS compute and AI models to our local markets for our customers. We have a number of innovative products to be launched that will reduce our video costs to bring more resilience to our Internet service to bring 100% coverage to our mobile service and to bring more AI agents to our Care service. Operationally, we remain focused on investing in our business in a returns-focused manner. Of key importance is our rebuild in Jamaica, both in terms of reconnecting homes, but also further transformation of our mobile network. We are excited to be pursuing 2 key projects within Liberty Networks, building connectivity on behalf of El Salvador and our ongoing MANTA project. We will be very focused on successful execution on Build through 2026, of 5G, which is now available in Puerto Rico, Panama, Costa Rica, the Cayman Islands and Barbados. This helps us maintain and enhance our commercial position in the mobile market as well as supporting FMC. We remain attuned to future opportunities to deploy 5G across our footprint. Finally, we are committed to rewarding our shareholders and have financial aspirations to deliver. I won't steal Chris' thunder, but suffice to say, cost efforts, capital investment discipline and a focus on free cash flow delivery lay at the heart of our outlook. And with that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will take you through our financial performance before we move on to your questions. Chris?
Christopher Noyes: Thanks, Paul. Over the next slides, I will provide key highlights of our Q4 and full year results for 2025 with a focus on the fourth quarter. For Q4, we delivered revenue of $1.2 billion, reflecting 1% year-over-year rebased growth. This was fueled by double-digit top line growth at Liberty Networks and CWP, offset in large part by declines in LC, principally due to the hurricane and LPR as a result of the year-over-year decline in customers. On a full year basis, LLA revenue was slightly down on a rebased basis to $4.4 billion. Moving to the right. We reported adjusted OIBDA of $451 million in Q4, bringing our 2025 full year adjusted OIBDA to $1.7 billion. These results reflect year-over-year rebased growth of 8% for Q4 and 9% for 2025, with both periods adversely impacted by $27 million stemming from Hurricane Melissa. For LLA, our operating focus on cost control and efficiency contributed to our roughly 300 basis point improvement in adjusted OIBDA margins in 2025. We expect our 2025 actions will continue to benefit our 2026 results. Slide 17 recaps our Q4 results for the C&W credit silo. Starting on the left, in Q4, LC reported $356 million in revenue and $153 million in adjusted OIBDA. Both metrics declined year-over-year on a rebased basis, which was entirely due to Hurricane Melissa as the Jamaican business experienced declines of $20 million in revenue and $27 million in adjusted OIBDA in the last 2 months of Q4. Overall, it is important to not let the hurricane detract from what was a very strong year from the LC team, especially in light of their margin improvement and 7% adjusted OIBDA rebased growth for full year 2025. With that being said, we do expect that the next quarters will be financially challenging in Jamaica and obviously, the year-over-year comps will be difficult until we lap the hurricane in Q4. Next, moving to CWP. Aided by revenue from government-related projects. In Q4, CWP posted double-digit rebased year-over-year growth for both revenue and adjusted OIBDA, reporting $230 million of revenue and $94 million of adjusted OIBDA. CWP's focus on improved gross margin contribution and content activities was reflected in expanded adjusted OIBDA margins in Q4 and full year 2025. Turning to Liberty Networks. LN generated $129 million in revenue and $75 million in adjusted OIBDA, which accounts for year-over-year rebased increases of 14% and 21%, respectively. Results in Q4, as Balan highlighted, were fueled in part by the El Salvador build and continued ramping of its wholesale infrastructure business. Aggregating all 3 operating segments within the C&W credit silo. For Q4, we reported $693 million in revenue, reflecting a year-over-year rebased increase of 4% and $322 million in adjusted OIBDA, resulting in 5% year-over-year rebased growth. As noted earlier in LC, the results for the silo were hampered by the hurricane impact. Rounding out our other 2 credit silos, Liberty Costa Rica and Liberty Puerto Rico. On the left, we highlight LCR. We delivered Q4 revenue of $168 million and adjusted OIBDA of $66 million, representing rebased declines of 2% for revenue and 3% for adjusted OIBDA. Residential mobile continued to deliver year-over-year growth, but was not able to offset a particularly soft quarter in B2B. With respect to full year 2025, adjusted OIBDA of $236 million was flat on a rebased basis. Importantly, the operating team has launched a comprehensive effort to improve its cost structure during 2026 and would expect momentum to build throughout the year, like we have seen in other markets. Concluding with Puerto Rico on the right, LPR posted Q4 revenue of $301 million, a slight increase from Q3 levels and which reflects a 4% rebased year-over-year decline. The rebased decline over last year is primarily a result of the full year impact of customer losses experienced from the 2024 migration. Importantly, the business has shown stabilizing trends over the last few quarters. Turning to adjusted OIBDA. We reported $89 million in Q4, reflecting double-digit rebased growth year-over-year. LPR has significantly improved their cost structure during 2025 to align more with their current customer base and also returned to more normalized customer service levels, which have positively impacted their collection efforts and bad debt expense. These steps have been necessary to help compensate for the lower revenue base and the net impact is reflected in LPR's improving adjusted OIBDA margins. Turning to Slide 19. Two important metrics that we are focused upon at LLA as we think about driving long-term value, adjusted OIBDA less P&E additions and adjusted FCF before partner distributions. Starting on the left, we have already briefly discussed adjusted OIBDA, but the other key input to the calculation is P&E additions. Even in light of the various commitments we had and events that occurred during the year, including new project wins and hurricane impacts, we remain disciplined during 2025. In aggregate, we invested $640 million in 2025, including $220 million in Q4 as compared to $725 million in 2024, including $240 million in Q4 of 2023. LLA's P&E additions as a percentage of revenue were 14% in 2025 versus 16% in 2024, a measurable year-over-year reduction. Combined with our improved LLA adjusted OIBDA performance and margins, we delivered adjusted OIBDA less P&E additions of $1.1 billion in 2025, including $231 million in Q4, representing year-over-year growth for fiscal 2025 of 27% and for Q4 of 30%. Our 2025 result represents 24% of revenue, a significant improvement over 2024 levels and one we look forward to continuing to drive higher over time. Turning to adjusted free cash flow before partner distributions. We had a particularly robust Q4, delivering $278 million in the quarter, which brought our full year figure to $150 million, a 29% year-over-year increase. A key driver of this improvement was the significant expansion in adjusted OIBDA less P&E additions of $226 million over this period, which was offset somewhat by working capital and related movements. Additionally, in Q4, we collected $81 million in net proceeds from our Parametric program, which helps to mitigate to a large extent, the physical damage and business interruption from Hurricane Melissa. As discussed earlier, we suffered financial impact in Q4 from Melissa, but a substantial amount of the adverse impact, including a large portion of the recovery investment is expected to occur in 2026. Although it will continue to evolve throughout the year, we generally expect that the 2026 adjusted FCF impact from the storm will be in the neighborhood of $100 million. Our operating goal is to be run rating near pre-hurricane levels by year-end, which should set us up for a full recovery in 2027. Next is Slide 20 and a review of our capital structure. At the consolidated level, we have total debt of $8.4 billion and liquidity consisting of $800 million in cash and $900 million in availability under our credit lines. At year-end 2025, we had consolidated net leverage of 4.3x, an improvement from 2024 levels. If we exclude LPR leverage, which is undergoing a liability management exercise as previously discussed, LLA leverage would decline into the mid-3s. Turning to the middle of the slide, which summarizes our 2 credit silos of C&W and LCR. We have total debt at C&W of $4.9 billion and covenant leverage of 3.5x and total debt at LCR of $515 million and covenant leverage of 1.8x. As seen by the combined maturity schedule, approximately 75% of borrowings are due in 2031 and later. Moving to the right, Liberty Puerto Rico has $2.9 billion of total debt with reported borrowing group net leverage of nearly 8x, while covenant leverage of the restricted subsidiaries was 14x as of Q4 2025. As seen today, LPR performance has stabilized over the last few quarters, but has a long road back to gain market share and expand the top line. And LPR continues to look for ways to improve its leverage profile. Of note, LPR may also need to raise additional liquidity in the near future to cover ongoing operating costs, although no definitive decisions have yet been taken in this regard. As discussed in our Q2 2025 earnings, LPR embarked on a liability management exercise with its creditors in 2025. And as part of that, a transaction proposal was provided to the creditors' advisers in early November, and those advisers were provided with access to significant levels of information and diligence since that time. To date, while no response to such proposal has been received, the team hopes for engagement from the creditors in the near future. As previously highlighted, LPR has substantial flexibility in its credit documents that will enable the business to continue to utilize its assets to meet any near-term liquidity needs as they arise, as demonstrated by the $250 million secured financing raised through an unrestricted subsidiary of LPR that was announced in September 2025. Additionally, and consistent with our previously stated intention of separating LPR and LLA, we are actively working on this and we'll update when appropriate. Moving to Slide 21 and our closing remarks. As compared to 2024, we delivered robust financial performance in 2025 with nearly double-digit rebased adjusted OIBDA expansion, 27% adjusted OIBDA less P&E additions growth and adjusted FCF before partner distributions improvement of 29%. In Jamaica, we have generally recovered our mobile business and will be disciplined in our capital approach to reconnecting homes and businesses as conditions on the ground improve. No doubt the full recovery will take time and impact our reported results in the coming quarters, but we anticipate that we will be running at a much fuller tempo by 2027. Looking forward, Balan highlighted his 2026 strategic vision on his concluding slide covering commercial, operational and financial priorities. Without repeating, I believe they can be further summarized into our continued focus on driving organic growth within our operating businesses and cash flow improvement. We clearly have near-term headwinds, especially with the timing of the Jamaican recovery and given our planned cadence for 2026. We would expect our financial performance at LLA and across our markets to be heavily weighted to the second half of the year. Activities related to cost out, our investments in projects like MANTA and product innovation, including our new arrangement with AWS, all speak to setting the stage for future growth. Finally, for our equity investors, certainly, 2025 did have its share of ups and downs, but trending positively at the end of the year. Management remains committed to working to unlock value, including returning capital to shareholders and we will be focused on executing Balan's 2026 priorities, which we believe will be beneficial to value creation in 2026 and beyond. With that, operator, we will open it up for questions.
Operator: [Operator Instructions] Our first question today will be from the line of [ Matthew Harrigan ] with [ StoneX ].
Unknown Analyst: I wonder if AI will ever enable the Q&A to not be conducted electronically. Actually, 2 questions. Firstly, you have some really abusive expectations on private equity infrastructure investment at one point. That didn't materialize, but certainly, the results are really inflecting upward. Even apart from MANTA and El Salvador, just by virtue of economic growth and increased volume even at lower per bit pricing. Do you think you've got a really nice tailwind just organically from economic activity? Or is it really just going to be largely a step function of MANTA and El Salvador and whatever other discrete projects materialize? And then I have a follow-up.
Balan Nair: On the MANTA and El Salvador project, they're actually quite different projects. The MANTA project is both building more resiliency as well as adding a huge amount of capacity on routes we think are going to be highly profitable. So -- and it's being built right now, and we'll start selling into it very soon, starting later this year, early next year. And we've got quite a bit of interest in that. The El Salvador project on the flip side, it's really a build operate transfer kind of a model with the government of El Salvador. But it has some really good upsides for us as well, including the fact that we will be running, maintaining that network. And in the future, perhaps we could put a branching unit and add some capacity to some of the other drops. So both projects are hugely accretive and have very good margins on it. But they are very complex projects. Ray Collins, who leads our business unit there. He and his team have been really on top of it. The build and the engineering is ongoing right now. And we have a lot to deliver on here, but the team is really up for it.
Unknown Analyst: And then as a follow-up, Mike Fries yesterday, this wasn't his expectation, but I think he said one of the hyperscaler executives said that it was possible that they could reduce Liberty Telecoms OpEx from $15 billion to $7 billion or $8 billion. Mike certainly didn't endorse that, but he implied that there was going to be a long run of AI and cost improvements given, obviously, telecom, you've got a lot of repetitive processes and big data lakes and network management, customer management. Do you think you're going to have that type of improvement? Obviously, not of that scale, but do you think we're going to be seeing very, very significant prolonged margin benefits? And then I was also curious, this month, you just the other day with AWS and then Liberty Global with Google and Gemini somewhat before that, both entered into relationships. And I'm curious how the expectations are vary between Google and Amazon. And was there any clear explanation as to why they went with Google and you went with AWS?
Balan Nair: Sure. Let me answer your last question first, and I'll get back. I really can't comment on Liberty Global's decision with Google, like Google Cloud and the work the Google team is doing. It's extremely impressive. Chris, myself or a whole bunch of my executives visited with the Google Cloud folks just 2 weeks ago in California, 3 weeks now. Our relationship with AWS is slightly different, and it's really focused on our business. Most of our models and most of our services and compute and storage is done over AWS. Most of our customers prefer AWS. The relationship with AWS is strong for our internal usage. And certainly, it's a great product for us to partner with our customers. We have quite a number of customers today, cloud customers on our premises that are migrating, and we think the migration to AWS makes a lot of sense for them and for us. And the folks that AWS has been really great to work with as well in this partnership. So that's really kind of why we went down that path. We think it's great for ourselves internally, and it's great for our customers as well. In addition, by the way, AWS is making investments in our region with us building out what they call outposts and their wavelength product in our data centers in Panama, in Colombia. So this is not just a reseller agreement. This is a really deep partnership between us and them. To your second question -- or your first question on AI benefits, I think we are really in the first innings here on this. This requires -- the opportunity is large. Let's be clear. I don't want to put a number on this. But clearly, as you pointed out, we have a lot of repetitive processes in our company, and we have a lot of things that perhaps we're not really good at. And AI can actually make us a lot better. It will take cost out. It will help us be more productive. And in addition to that, it will have a better front end for us to our customers as well. And on all those fronts, we have either trials, we have implemented, we have launched, and we're just seeing the beginnings of it. I think the challenge in our company that we are challenging ourselves is how do we translate all of this into some real tangible free cash flow improvement. And that's really, as Chris pointed out, our primary goal. Everything that we work on here has to, at some point, translate to a free cash flow expansion. And we are working on it. I think if you ask the same question 2 quarters from now, I will probably have a slightly different answer with much more tangible initiatives that we are working on. I can tell you now, if you go to Costa Rica, you call our call centers right now, there's a high likelihood an AI agent will be answering the call.
Operator: The next question today will be from the line of Michael Rollins with Citi.
Michael Rollins: Curious if you could help us -- help all of us understand the fixed to mobile convergence opportunity. In your major markets or regions, can you frame what the current level of converged take rates are, where you see that potentially going on a volume basis? And to get there, do you have to do substantial discounting? Or can it be nearly as accretive as if you were getting these customers on the stand-alone services and just coincidentally package together?
Balan Nair: The fixed mobile convergence have been a real benefit for us. Yes, there's a few ways to look at it. One, if you know, most of our markets, with the exception of Puerto Rico, it's primarily prepaid, primarily prepaid markets. So when you go to fixed mobile convergence, there's 2 things -- 2 steps here. One, you go from pre to post and then you link the post to our fixed product. And it's primarily postpaid mobile with our fixed broadband. That's really the golden product, the bullseye product we call. And this has worked quite well across our markets. And in Puerto Rico specifically, we've been looking at -- we have more than 50-some percent market share in our fixed broadband in Puerto Rico. And we have right about slightly under 20% in our mobile postpaid. And clearly, the opportunity to link both of them is pretty high. So for every fixed broadband customer that do not have our postpaid, it's really an opportunity for us. And for any of our postpaid customers that don't have fixed broadband, also an opportunity for us. And the trick is really our systems, and we've been going through, as you know, in Puerto Rico, quite a significant upgrade in our systems and stabilizing them. We are now at a point where we can start doing a lot of this postpaid and fixed mobile -- sorry, and fixed broadband convergence. And it's really kind of -- it provides 2 things. One, a higher ARPU in the home or that specific customer, so the customer ARPU goes up. And secondly, churn goes down. And these are proven facts across all telcos over many years. And I think we've been quite successful. We have quite a number of my general managers who are really steeped into this, focused on it, and this is really one of our growth opportunities in '26 and beyond.
Michael Rollins: Maybe just a follow-up on the revenue side. Can you give us an update when you take into account the -- what you just described in terms of the FMC opportunities, the opportunity to continue to grow in your markets, what's a fair range of annual rebased revenue growth that Liberty Latin America should operate within on a multiyear basis?
Balan Nair: That's a great question. I've got to be careful I don't give guidance here. But here's how you look at it. Our mobile product is growing because as we move from pre to post, ARPU gets better, we attach it to our fixed and we start growing. So the mobile product, you'll see growth. It won't be in the double digits, but it will be very respectable single-digit growth annually. And that -- we have a long runway in that. On the fixed side, broadband continues to grow, however, offset by headwinds on video and voice. So as you look at the fixed product, you'll see flattish to slight growth, but it's mostly because we have some legacy products that you got to adjust for. Eventually, will wash out and we'll get to a steady cadence. B2B has good growth as well. And the B2B growth, we are really excited now getting into more and more cloud services that we're selling. We still continue to sell connectivity. But in addition to connectivity, we're selling a lot more cloud services. But even in B2B, there is a headwind. And the headwind is mostly a lot of customers are canceling their voice products. So there's voice services that will continue to decline a bit, but it's offset by these new cloud services. And the second thing that kind of offsets our revenue going forward is roaming. -- clearly, as people travel, this is a great market for us because a lot of the cruise ships, a lot of people roam. But clearly, with new technologies and most people getting on WiFi via WhatsApp, the roaming revenue is going to be continuously, it's going to slightly decline, and that kind of adds to a headwind to our product. So our product portfolio has a lot of really nice good products and a few headwinds that it's just the nature of where the technology is at. I think the way we look at it is we are going to invest further and deeper into all the products that are growing. And then we're just going to manage the rest of the products that we are challenged with, voice, video, roaming, those kinds of products, we're going to just try to manage that. And I think the team has done a pretty good job. You can see it in our numbers. And that's why you can see while revenue is kind of flattish at the top, there's a significant EBITDA expansion. The EBITDA expansion comes from cost cutting, this base management and really us moving to higher-margin products. So that's kind of one way to look at it.
Operator: [Operator Instructions] The next question today will be from the line of Chris Hoare with New Street Research.
Chris Hoare: I had a question on the top line trajectory in Puerto Rico. Obviously, great news on the inflection in postpaid net adds. I wonder if you can give sort of any color on the shape of how that sort of played out in the quarter. And obviously, what I'm trying to think of is what we should expect going forward, whether you'd expect to see further improvements in terms of postpaid net adds? And then also on the top line in Puerto Rico, obviously, that was sort of slightly offset by a bit of weakness on B2B. And I think you said that, that's a function of sort of hangover from the transition, but I'd just be interested in sort of if you can give any more color on what happened there as well and therefore, also trajectory on B2B revenues in Puerto Rico.
Balan Nair: In '25, we had a whole bunch of headwinds there. We started the year with an outlook that's very, very different than what we ended the year with, meaning extremely positive in the way we ended the year compared to how we saw it at the beginning of the year because there were some headwinds and challenges that we did not anticipate as we came into 2025, the first quarter of '25. Here's a few things that can show the improvements. One, of course, you see financially, we're turning this business around. And -- but it's really based on a whole bunch of things that we fixed in the business, whether it's the leadership talent, whether it's the processes in it, the stabilization of the systems and really coming out with value propositions and products that make sense to our customers. There's a huge amount of improvements in business when somebody walks into our store today than they did last year. So a number of things that I think will give us some nice tailwind into '26. The net adds you saw in the fourth quarter of '25 were driven by all these improvements, including a real big turnaround in our NPS scores. And -- but it was also assisted by the fact that we were migrating a ton of these subscribers -- we bought from DISH. They were prepaid subscribers that came to us. But because of our really strong postpaid value proposition, a number of those prepaid subscribers actually ended up buying our postpaid product instead of moving as to prepaid. And so that drove as well some of the growth of net adds in fourth quarter '25. Now if I look into '26, January, we had a very good month in January. So without any of the Boost subscribers moving up to postpaid. So we continue to see the progress in that. But I think this is a journey that's going to take a lot more than 1 or 2 quarters. And my sense is by the end of '26, we'll be an even better state to set up for a really nice opening balance into 2027. And then back to the revenue miss, you correctly pointed out, B2B was a challenge for us in 2025. We opened the year with a very weak opening balance coming into 2025 and struggled throughout the year. We made a number of changes in the team in the B2B team. We brought in a new leader for the group. She is extremely focused. And if I look at my budget for 2026, has a very good and a very, I think, a budget that when we hit it, I think people are going to be quite happy. So the turnaround is happening, but we have to be patient. This is going to take many quarters.
Chris Hoare: Okay. And maybe one follow-up would just be on the slide on equity value unlock where you talk about shareholder returns focus. Is there any more color you can give there in terms of either what you're thinking of or timing around when anything might be announced there?
Balan Nair: I think things are looking on the up and up here. We feel really confident about the business. We really feel really confident about the future. As Chris pointed out, the cash flow generation in the fourth quarter looks really good. And you can see that our intention, as Chris pointed out, is we're going to expand that into '26. Now as you know, most of our free cash flow comes in, in the second half of the year. So there's a number of things that we've been thinking about. I suspect that sometime during the course of this year, we are going to come out with something that together with our Board, make some decisions that I think will reward a lot of the shareholders that's been with this.
Operator: That will conclude today's question-and-answer session. I'd like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Well, firstly, I'd like to say thank you for everybody that's been patient with this. Certainly, the story has got lots of moving parts, and we've had a fair share of challenges. And some of it is self-inflicted, some of it, clearly, mother nature is -- we weren't expecting that hit in Jamaica and the hurricane. But we're going to power through all of it. And one thing that's really good about this team is it's we are quite resilient. And when we see things going off, we try to fix it and we do, I think, a pretty dang good job bringing things back to where it should be. And we'll do the same thing within Jamaica as well, as Chris pointed out, I think by the end of this year, you're going to see that Jamaica is back to where it should be, which sets us up for a great 2027 as well. But we've had our setbacks, and we say in our company, all these setbacks, great for a great comeback. And I think we are on our path to a great comeback. So thank you very much for all your support, and we look forward to talking to you again next quarter.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's Full Year 2025 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. And you can also find a copy of today's presentation materials.